Operator: Good morning, ladies and gentlemen and welcome to the SECURE Waste Infrastructure Corp. Q1 2025 Results Conference Call. [Operator Instructions] This call is being recorded on Friday, May 2, 2025. I would now like to turn the conference over to Alison Prokop. Please go ahead.
Alison Prokop: Thank you and good morning to everyone who is listening to the call. Welcome to SECURE conference call for the first quarter of 2025. Joining me on the call today is Allen Gransch, our President and Chief Executive Officer; Chad Magus, our Chief Financial Officer; and Corey Higham, our Chief Operating Officer. During the call today, we will make forward-looking statements related to future performance and we will refer to certain financial measures and ratios that do not have any standardized meaning prescribed by GAAP, and may not be comparable to similar financial measures or ratios disclosed by other companies. The forward-looking statements reflect the current views of SECURE with respect to future events and are based on certain key expectations and assumptions considered reasonable by SECURE. This forward-looking information addresses future events and conditions, by their very nature, they involve inherent assumptions, risks and uncertainties and actual results could differ materially from those anticipated due to numerous factors and risks. Please refer to our continuous disclosure documents available on SEDAR+ as they identify risk factors applicable to SECURE, factors which may cause actual results to differ materially from any forward-looking statements and identified by our non-GAAP measures. Today, we will review our financial and operational results for the 3 months ended March 31, 2025. I will now turn the call over to Allen.
Allen Gransch: Good morning, everyone and thank you for joining today’s call. We are pleased to report a solid start to 2025, reflecting the consistency of our infrastructure-backed business model. Amid recessionary concerns and lower commodity prices, our operations continue to generate high-quality earnings and stable cash flow underpinned by our reoccurring waste volumes tied to production and industrial activity. Adjusted EBITDA for the quarter was $121 million, representing a 33% EBITDA margin and stable performance on a pro forma basis after removing the $13 million of adjusted EBITDA from the facilities that we sold to Waste Connections on February 1, 2024. Extreme cold weather in February temporarily softened some activity levels, but our base business and strategic investments continue to deliver. On a per share basis, adjusted EBITDA increased 24% from the first quarter of 2024 pro forma, reinforcing the value of our capital return strategy. This increase is driven by an 18% reduction in our weighted average shares outstanding year-over-year, along with strong infrastructure utilization and contributions from recent growth projects and acquisitions. In the first quarter of 2025, we continued our buyback strategy, reflecting our strong conviction in the intrinsic value of the business and our commitment to returning capital to shareholders. In total, we repurchased 5.3 million common shares or approximately 2% of our total outstanding shares for a total cost of $79 million. In April, we launched a $200 million Substantial Issuer Bid, accelerating our share buybacks planned for 2025. Together with our dividend, we are on track to return nearly $400 million to shareholders in the year, while continuing to invest in growth and maintain our financial strength. This morning, we announced an increase to our 2025 organic growth capital program to $125 million, up from $85 million, supported by a 10-year commercial agreement with senior Montney producer. Key projects planned for 2025 include constructing two greenfield water disposal facilities with integrated pipelines in the Montney region of Alberta to accommodate growing producer volumes. These new facilities are both backed by 10-year produced water contracts with large reputable counter-parties One of the new facilities will be operational in the fourth quarter, while the second facility is scheduled to come online in the first quarter of 2026. In March, we completed Phase 3 expansion of our Clearwater terminal, adding treating capabilities for truck and emulsion volumes and increasing capacities to 75,000 barrels per day. This expansion, as I mentioned, came into service this first quarter. Reopening and upgrading an industrial waste facility in Alberta’s Industrial Heartland expected to be operational in the third quarter. Purchasing incremental railcars to bring SECURE’s fleet to approximately 200 cars, increasing the efficiency of our metal recycling logistics and distribution operations. And finally, ongoing optimization efforts across our network to increase volume throughput and drive same-store sales adjusted EBITDA growth. We also closed the acquisition of an Edmonton-based Metal Recycling business on January 31 for $162 million, including certain working capital. This acquisition strengthens our processing capabilities add scale and supply diversification and improved logistics through our investment in railcars. We have also determined not to proceed with the previously announced $18 million acquisition in our Metal Recycling business due to final due diligent outcomes. We are maintaining our 2025 full year adjusted EBITDA guidance range of $510 million to $540 million. Our outlook reflects a more cautious stance in light of ongoing macroeconomic volatility, including uncertainties surrounding tariffs, recessionary concerns and the recent decline in commodity prices. Now while these factors have contributed to a weaker economic outlook and increased uncertainty for our customers, they assess potential impacts on their businesses, and we believe our guidance range has sufficient flexibility to accommodate these conditions, along with the impact of our decision not to proceed with the $18 million acquisition in the Metals Recycling business. The long-term fundamentals for our business remain intact. Consistent energy demand, mandated liability reduction and steady industrial activity. Our infrastructure supports reoccurring waste streams and is built to perform across cycles. We provide critical regulatory-driven services through our infrastructure and helping our customers meet environmental obligations while ensuring safe, compliant waste handling. With a strong balance sheet and robust cash flows, we remain well positioned to fund growth, return capital and maintain a leverage ratio below our target range of 2x to 2.5x debt to EBITDA. I I’ll now turn the call over to Chad to walk through our Q1 financial results in more detail.
Chad Magus: Thanks, Allen, and good morning, everyone. Our first quarter performance highlights the strength and stability of our core business, with per share metrics underscoring the positive impact by our strategic buybacks over the past year. Financial highlights for the first quarter include, net revenue of $371 million, up 3% year-over-year. Growth was driven by our Metals Recycling acquisition, higher pricing at our waste processing facilities and landfills and increased volumes at our Clearwater facility following the Phase 2 expansion, which came into service in the second quarter of 2024. These gains were partially offset by the divestiture of 29 facilities on February 1 last year, lower processing volumes during a period of extreme cold in February and reduced arbitrage opportunities in our Storage and Trading business. Net income was $38 million or $0.16 per share. The prior year included a significant gain on the asset divestitures, and as a result, net income this quarter appears lower but reflects more typical operating performance. Adjusted EBITDA was $121 million, up 2% year-over-year pro forma. On a per share basis, adjusted EBITDA of $0.52 was up 24% year-over-year pro forma reflecting the impact of a lower share count from buybacks. Our adjusted EBITDA margin was 33% of net revenue, consistent with full year expectations post-acquisition of the Metals Recycling business. Discretionary free cash flow was $67 million, reflecting a 55% conversion of adjusted EBITDA. This was driven by low sustaining capital, minimal debt servicing and a favorable tax position. We continue to expect to spend $85 million of sustaining capital in 2025, $15 million associated with our asset retirement obligations and report $60 million to $65 million of current taxes. $29 million in growth capital was deployed in the quarter. This included the completion of the Phase 2 expansion of Clearwater, which increases capacity and adds processing capabilities. We also advanced the upgrades on an industrial waste facility, continued construction on our previously announced Montney water disposal facility, as well as added railcars for our Metals Recycling operations. We paid a quarterly dividend of $0.10 per share, representing an attractive 3% yield. We intend to maintain the $0.40 per share annualized dividend which equates to approximately $92 million annualized based on our shares outstanding as of quarter end. As Allen noted, we repurchased over 5.3 million shares for $79 million under the Normal Course Issuer Bid, or NCIB in the quarter. On April 8, we launched a Substantial Issuer Bid, or SIB, to repurchase up to $200 million of common shares. The offer is being conducted through a modified Dutch auction with a price range of $12 to $14.50 per share and an option for proportionate tender. The high end of the offer reflects a premium of approximately 10% on our closing share price yesterday. The offer remains open until May 14. Further NCIB activity following the SIB will be at the discretion of management and Board. 13.6 million shares remain available for repurchase under the SIB, which expires on December 17, 2025. As of the end of the first quarter, we had $300 million in fixed debt and $255 million drawn on our $800 million revolver, leaving us with significant liquidity to execute our capital plans. Our total debt-to-EBITDA ratio was 1.6x or 1.3x excluding leases, well below our long-term target range of 2x to 2.5x. With that, I’ll pass over to Corey to discuss our Q1 operational highlights.
Corey Higham: Thanks, Chad. Operationally, our teams delivered solid results despite challenging conditions in February, including extreme cold that impacted field activity. In the Waste Management segment, at our waste processing facilities, we safely processed on average 99,000 barrels per day of produced water and 40,000 barrels per day of slurry and emulsion. We also recovered 289,000 barrels of oil from waste streams, reinforcing the value we create. Landfill disposal volumes remained strong with 846,000 tons safely contained across our network. The newly acquired Edmonton-based Metals Recycling business adds significant scale to our operations. Approximately doubling the scrap metal we expect to handle across our network. We now have 12 facilities across Western Canada and are seeking to drive volumes from our secondary yard to the Edmonton hub to increase utilization of the shredder, reducing processing costs and driving higher margins. Integration of the acquired staff and infrastructure is going extremely well, and we expect to achieve the full run rate of synergies from the acquisition in 2026. Our Specialty Chemicals business continued to perform well with strong demand, increasing market share and a favorable mix of higher-margin products contributing to the segment’s results. In the Energy Infrastructure segment, First quarter terminalling and pipeline volumes averaged 128,000 barrels per day, an increase of 16% pro forma due primarily to the Phase 2 expansion of the Clearwater Terminal, which came into service in June 2024. SECURE continues to benefit from stable recurring production-related volumes across our infrastructure network. Approximately 80% of our adjusted EBITDA is tied to ongoing production industrial activity, while the remaining 20% is linked to drilling and completions. While we may see some slowdown in capital spending as our customers approach the current environment with caution, emphasizing discipline and operational efficiency, production-driven waste volumes are expected to remain steady, highlighting the resilience of our business model. To support long-term growth, we increased our 2025 capital program by $40 million, bringing the total expected spend in 2025 to $125 million. The increase reflects a second new Montney water infrastructure facility and pipeline connection backed by a 10-year commercial agreement signed during the quarter. One of the new facilities will be operational in Q4, while the second new facility is scheduled to come online in early 2026. We continue to optimize throughput, increase efficiency and align capacity to long-term demand across industrial, energy and metals waste streams. All 2025 growth projects are advancing safely and on schedule, and we’re seeing strong interest from our customers for additional capacity. I’ll now pass it back to Allen for closing remarks.
Allen Gransch: Thanks, Corey. In summary, SECUREs’ performance in the first quarter reflects our strength as a Waste and Energy Infrastructure business. Our capital allocation priorities continue to focus on stock buybacks, as both management and the Board continue to maintain the shares in the company are undervalued and these repurchases under the NCIB and now SIB support that conviction. We are also excited to increase our 2025 organic capital spend to $125 million, where 73% or over $90 million of our capital spend is backed by long-term contracts. Organic growth opportunities and M&A are key elements of our strategy. We were also pleased to close the Edmonton acquisition in the quarter as the mega share to provide significant operational efficiencies key to our hub-and-spoke strategy of driving volumes to the central location. With our leverage ratio of 1.3x at quarter end, the corporation remains under-levered following the Waste Connection asset sale last year and our continued strong cash flow generation. This provides us significant flexibility to execute on our strategy, scale the business for the future and create value for shareholders through buybacks, dividends and disciplined investment. We look forward to updating you on our progress throughout the year. With that, I’ll turn it over to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks, operator. Good morning, everyone. Allen, you are sounding on the guidance side of things, you are sounding cautioned on macro and commodity prices, yet the guidance is still the same, without any incremental M&A that you announced today or contribution from the new contract that you just disclosed. So just wondering like are there any areas in your business where things are stronger than you expected back in December and that’s offsetting any of the market weakness you might be baking into guidance?
Allen Gransch: Good morning, Konark. Yes, thanks for your question. Yes, I think when we look at our guidance range we look at it and say there is room on the range based on what we are seeing today. I mean obviously, there has been lots of uncertainty in the first quarter with tariffs and the tariffs impacting overall global markets and do we head into a recession, so not saying that those don’t factor in. But I think when we look at our guidance and we look at what we are seeing into Q2, I mean activity still remains relatively robust. I mean our customers are generally looking at the impact that they are going to have to their own business on what their operating cash flow is, with the biggest one being the price of WTI coming off $10. How does that impact their cash flows, do they make any adjustments accordingly. But so far, through our conversations, I think there is a cautious approach from our customers, but they don’t seem to be moving in a direction that we think would result in significantly lower activity at this time. So, we are going to maintain and each quarter, we will update if the range is still appropriate. I mean obviously, it comes off a little bit with us not going ahead with the acquisition on the metal recycling business. I mean that, that will go down a little bit on our numbers. But so far, we are confident that the activity levels are strong enough to continue on this guidance range through 2025.
Konark Gupta: That makes sense. And just to be clear, when you talk about the customers who are kind of saying they are not looking to significantly reduce activity. Is that because you are more skewed to production and like drilling guys could be impacted somewhat incrementally?
Allen Gransch: That’s correct. Yes, that’s correct. I think when we look at the amount that we are exposed to drilling and completion, it’s relatively small, call it, in that 20% range. And they make small adjustments we are talking very small percentages in terms of volumes that are coming into our facility. So, when I look at production and production being maintained and stable, that’s where I get a lot of confidence on the stability of the cash flow, so that’s correct.
Konark Gupta: Okay. That’s great. And if I can follow-up on the new contract you got, so congrats on that. It seems like the big 10-year contracts. Any sense on how much return on capital you expect from this over the 10-year timeframe? And is there room to expand beyond the anchor customer you have?
Allen Gransch: Yes. When we look at any of our business development opportunities, our goal is to ultimately target a 20% after-tax IRR. When we look at these specific projects, part of the project is guaranteed and backed by our customer, call it in that 75% range. And we are typically targeting IRRs that are in that, call it, 15, 16 percentage points where we are getting additional IRR points would be area dedications from that customer as well as third-party volumes that we can take to make sure we get the utilization of that facility ramped up. So, there is this level of confidence that you can go and execute on the project, knowing that you have got a base level of guaranteed returns, but you also have upside to hit our targeted threshold, and we are just seeing a lot of water volumes in the Montney. The water cuts are high, and they are continuing to grow. And I think our customers recognize, we have so much expertise in water management and specifically the chemistries involved in filtration and mechanically separating out some potential solid and then ultimately disposing of it. And so they are leveraging off that expertise and saying that we will outsource outsourced to SECURE. And I do think this is the second kind of Montney water disposal project that we are executing in 2025. And these projects have further opportunities to expand because I think as these customers of ours continue to expand their activity in these areas, they are going to need more water off-take. And once you have that base level of infrastructure, you are really just bolting on why I would call brownfield expansions, where the returns look better. And that’s the whole point of utilizing existing infrastructure, adding to that infrastructure and making the waste aspect of what producers deal with every day and we handle that for them on their behalf.
Konark Gupta: Okay. That’s great to hear that. Thank you so much for the time.
Allen Gransch: Thanks Konark.
Operator: The next question is from Patrick Kenny from National Bank Financial. Please go ahead.
Patrick Kenny: Thank you. Good morning. I guess just on the upsized growth CapEx budget, I just wanted to check in to see if you are still pursuing other commercial opportunities from here that if successful, might push the growth budget for the year even higher, or are you looking to take a bit of a pause now on adding more organic growth projects until, say, next year or at least until things settle out on the macro front?
Allen Gransch: Alright. Patrick, yes, I think we are at $125 million, which is above what we typically have done if you look at last year, but this type of range, $100 million to $125 million, when I look at our engineering and construction team and our business development team and being able to execute on that project, on these type of projects, we definitely have the team and the capabilities to do it. Right now, a lot of our focus in our hopper for 2026 and 2027 is where we are driving a lot more of our thoughts around where does that organic capital look like for 2026. I would say right now, if I were to look at the various areas. So, we have got – we completed that treater expansion at Nipisi. So, that’s complete. These two facilities will be ongoing construction in Q3 and Q4. We have got our Redwater facility, which is a Class 1a hazardous facility where we could get hazardous waste. That facility will be under construction as well. We are pretty excited about that. It’s just – it really allows an opportunity for us to go after some of the specialty waste end markets where we are seeing the volume to exit the province. And so we think we have a pretty strategic asset to get that complete. And we have conviction in completing these capital programs because we understand the market or we are contract back. So, the uncertainty that we are all facing from businesses right now is supported by the fact that we have got these longer term arrangements with great counterparties. So, to answer your question, I don’t foresee in the rest of the year that we are going to increase this organic capital program. We are already thinking about 2026. But what we do have right now, we are willing to be able to execute on, and we continue to add to our opportunities, which is great because we want to handle more and more waste from our customers.
Patrick Kenny: Okay. That’s helpful. And then I guess on the buybacks, assuming there is full take-up of the SIB, it sounds like you might take a bit of a pause on the NCIB afterwards. Is that more a function of just wanting to maintain a bit more liquidity and cushion on the balance sheet in this environment, or is there some other technicality that might be holding you back from fully executing the NCIB for the remainder of the year?
Chad Magus: Yes. Patrick, it’s Chad. I am not sure we will take a pause. I think we will see how much uptick we get on this NCIB [ph]. Obviously, we still got quite a bit of room under the NCIB. Ultimately, it will depend on where we are trading and what we – where we think our EBITDA is going to be and where the valuation is and whether we think there is – it’s a good move for shareholders to be allocating that capital to buying back shares. So, I would say it will be a little bit of a wait and see, but we still got lots of capacity on our balance sheet to continue to buy back shares. So, I anticipate at these current levels that we would continue to support the NCIB throughout the remainder of the year.
Patrick Kenny: Great. Last one for me, if I could, just the decision not to proceed with the BC metals recycling tuck-in there. Was that just a function of getting in under the hood and seeing the quality of the inventory, or was it something with the operations? And I guess how does this maybe change your due diligence process and the way you might be thinking about pursuing other tuck-in opportunities in the space going forward?
Allen Gransch: Yes. I think when we look at acquisitions, we go through a number of things in terms of – we want to make sure that we are doing our own due diligence on what’s happening in terms of volumes that come into the facility, how they are processed, where they are sold, reviewing our own economics associated with how the business is operating. We look at whether there is environmental liabilities, we look at the people, we look at the equipment and all of these have to meet our expectations. And you are right, as you do due diligence and work through these areas, you do uncover some things. And unfortunately, at those points in time, you have to have a question of, okay, do we want to adjust our model, do we want to adjust our returns and have those frank conversations with the sellers. And if you can’t meet on where you agree, we are happy to walk away. I mean we are not – we don’t need to do these deals. We do deals that we think are going to be accretive to our operations, accretive to overall shareholder value. So, we are happy to walk away if that doesn’t meet our expectations. I would say every business deal is different. We have over $100 million of other metal recycling opportunities in the offer that from an M&A perspective, I think having our strategic hub here in Edmonton, they make a lot of sense when we think about transportation and operational synergies with running the shredder and it’s having more scale. So, we want to continue to vet through those. I don’t think we are in any rush. We are right in the midst of integrating that general acquisition. And as Corey noted, it’s going very, very well. But we want to make sure everything is running very, very smooth as we continue to bolt on other M&A opportunities here throughout the year or into 2026. But as I have said, yes, you get through deals and sometimes they don’t work out, and we are happy to exit that and continue on.
Patrick Kenny: Okay. That’s great. And I will leave it there. Appreciate all the comments.
Operator: Your next question is from Arthur Nagorny from RBC Capital Markets. Please go ahead.
Arthur Nagorny: Thank you. Good morning. Just wanted to follow-up on the earlier question around tariffs by focusing on the metals recycling business, are you seeing any meaningful impacts on demand or prices so far across your U.S. and Canadian customers?
Corey Higham: Hey. Good morning Arthur, it’s Corey. Certainly, around tariffs between the sea-saw approach with President Trump, we have got a lot of clarity around tariffs with respect to our business today and under the Canadian-U.S. free trade agreement, there is no tariffs impacting our revenue line items today around our metals recycling business, is not really any different than what Allen has commented about. We are continually talking with our downstream buyers. There will be some uncertainty as we move through China and U.S. fight. And most of our downstream markets are in Canada. So, we are not seeing a major impact yet, but we will continue to engage and monitor the situation.
Arthur Nagorny: That’s helpful. And then just on the new Montney project, specifically the one that’s coming online in Q4 here. Do you expect any meaningful contribution in 2025, or is that going to be kind of coming online closer to the end of the quarter?
Allen Gransch: Yes, you will see more impact on that into Q1 2026.
Arthur Nagorny: Okay. And then I guess just sticking on that, too. I think you mentioned the contracts or more area dedication, so just wondering if you can maybe detail that out a little bit. Again, the whether – and maybe help us with whether there is more kind of take-or-pay elements to those contracts as well?
Allen Gransch: Hey Arthur, it’s Allen. Yes, the contract terms on the area dedication would be above the 75% that is committed into these facilities. So, we look to lock down at least a few IRR points above our cost of capital. And when we think about area dedication, it would really be taking on some level of risk. When we are talking about 20% after tax IRR, you have to have risk associated with those returns. And we always look at risk and returns on an adjusted basis and how much risk we are taking and what we are willing to accept. So, when we talk about area dedication, area dedication means, your future, you are going – in the future, you are going to develop the acreage and continue to produce more volumes, which if you are thinking about commitments no one wants to over-commit until they actually start getting into it, but the probability of them going ahead and developing the acreage with all the infrastructure that they have and how we support that on the waste side, you have got a high level of confidence that the area dedication volumes are going to come to fruition. And then on top of that, this area is so busy right now. A lot of the volumes are migrating two hours, three hours on a truck ride. And so you have got more conviction that if you had a transportation differential that is closer, so your producer or your customer can deliver without having to truck at two hours away, that obviously plays into your utilization and your economics and time value of money is really important in driving this kind of 90% to 95% utilization at these facilities. So, part of it, I would say 25% is more on your adjusted rate of return based on risk and what we share with our customers and to be able to progress forward. And then part of it is we have to have some level of conviction that there is a guarantee based on our own cost of capital.
Arthur Nagorny: Alright. That’s perfect. Thank you. And then I guess just one last question for me, just wanted to follow-up on the metals recycling acquisition. I think you touched on it a little bit, but just wondering how integration is going so far and if there is anything that’s kind of surprised you. I know it’s still early days, but are things generally going along according to plan, or is there anything that, I guess has surprised you so far? Thank you.
Allen Gransch: In a nutshell, it’s going fantastic. We have had the keys to the target here for about three months now. When you do a large acquisition like this, we put a lot of time and energy internally on integration and whether that’s operational procedures, the people, our customers, etcetera. So, it’s going fantastic. We have spent a lot of time dealing with the staff. And as most of you know, none of these businesses work without people and the people at that we have acquired have been fantastic and things are going great.
Operator: [Operator Instructions] I am showing we do have one more question from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks. Let’s say, just getting back here and a quick follow-up for pricing. In these kind of environments, did you expect pricing? I know you took some pricing increases over the last few years, but did you expect pricing as we head into ‘26 to soften down a bit as commodity prices are being volatile? And obviously, the macro is not pretty clear at this point, or do you see like the infrastructure that you have provides enough value to your customers that you can still push some pricing increases regardless of the environment.
Allen Gransch: Hey Konark. Yes, I think when you look at the overall environment today, what tariffs do is they raise the cost of everything. They are sales tax. So, your cost of goods or services are going to go up because of these tariffs that are going to be in place in Canada and in the United States. And so we are going to have inflationary effects, and we have seen that continuation from 2024 into 2025 as part of our cost structure. And we are looking at it in terms of how is it impacting our business, whether it’s chemical cost, power cost, labor cost, and looking at the impact to the margin and our customers see the same thing. And so we want to make sure that we are managing those inflationary costs through price increases and a bit of that is dialogue with our customers. We just raised prices here at the start of 2025. So, obviously I want a lot more things to play out through the remainder of 2025 and see what the recessionary backdrop looks like and what the economic outlook looks like. But we will reenter into those discussions. And I think there are some areas where there is a justification for pricing increases, and it’s probably some areas where we got to be a bit more thoughtful on how we want to approach it. But I think we can have that open dialogue with our customers because these are impacts that we are seeing to our business, to their business, and we have those conversations. So, the answer is potentially yes.
Konark Gupta: Alright. That makes sense. And can you share like the inflationary effects that you might be seeing because of tariffs, to what magnitude this incrementally over and above the base inflation that we are seeing? Like are we talking like a few percentage points, or these are like mid to high single impacts?
Allen Gransch: Right now, we are seeing pretty low, I would say it in the one to two points as you have described. But that could change, right. I mean I have never seen so many changes and flip flops on tariffs in two months. And that uncertainty and what it looks like going forward could impact it. But your 1% to 2% comment is fair. I don’t – I am not seeing the higher-single digits for sure.
Konark Gupta: Okay. That’s great. I appreciate the time again. Thank you.
Allen Gransch: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to Allen Gransch for closing remarks.
Allen Gransch: Well, thanks everyone for being on the conference call today. A taped broadcast of the call will be available on SECURE’s website. I invite you all to attend today’s Annual and Special Meeting of Shareholders. At this meeting, among other things, shareholders have the opportunity to vote on our Board of Directors, our incentive plan and SECURE’s approach to executive compensation. The meeting will be conducted via live audio conference call and the details on how the dial-in can be found on our website. Finally, we look forward to providing you with updates on SECURE’s second quarter results on July 29th. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.